Operator: Good morning and thank you for joining the Tetra Tech Earnings Call. As a reminder, Tetra Tech, Inc. is also simulcasting this presentation with slides in the Investors section of its website at tetratech.com. This call is being recorded at the request of Tetra Tech, Inc. and this broadcast is the copyrighted property of Tetra Tech, Inc. Any rebroadcast of this information in whole or part without the prior written permission of Tetra Tech, Inc. is prohibited. With us today from management are Dan Batrack, Chairman and Chief Executive Officer, Steve Burdick, Chief Financial Officer, and Roger Argus, President and CEO designate. They will provide a brief overview of the results and will then open up the call for questions. I would like to direct your attention to the Safe Harbor statement in the presentation. Today's discussion contains forward-looking statements about future business and financial expectations. Actual results may differ significantly from those projected in today's forward statements due to the various risks and uncertainties, including the risks described in Tetra Tech, Inc.'s periodic reports filed with the SEC. Except as required by law, Tetra Tech, Inc. undertakes no obligation to update its forward-looking statements. In addition, since management will be presenting some non-GAAP financial measures as references, the appropriate GAAP financial reconciliations are posted in the Investors section of Tetra Tech, Inc.'s website. At this time, I would like to inform you that all are in a listen-only mode. At the request of the company, we will open up the conference for questions and answers after the presentation. With that, I would now like to turn the call over to Dan Batrack. Please go ahead, Mr. Batrack.
Dan Batrack: Thank you very much, Diego, and good morning. And welcome to our fiscal year 2026 first quarter's earnings conference call. I'm glad to report this morning that we had a very strong first quarter beginning to our 2026 fiscal year. Now during this past year, we had many different points to navigate. And as last quarter, we now had a new one: the longest US government shutdown in history. But during all of these challenges, so during this last year and during the first quarter of this year, we've remained very focused on the enduring markets of water supply, water treatment, flood control, and environmental stewardship. All of which remain in very high demand. And, yes, water is not going out of style. Now as you're gonna hear this morning, even with the government shutdown, we grew our revenue 8%. We expanded our margins by 140 basis points on a GAAP basis. Deep Vertical will talk more about this in a bit. And we improved the quality of our backlog by winning more front-end work and increasing the embedded margins that we have in the new projects that we've been awarded just this last quarter. Now today, Steve Burdick, our Chief Financial Officer, will provide additional details on our financial performance on a full GAAP basis. Roger Argus, Tetra Tech, Inc.'s President and CEO designate, will provide an update on our growth markets and market outlook. And with that, I'd now like to share with you an update on our financial performance and business. As we both performed in the first quarter and as we see ourselves moving forward into the rest of 2026. I'll start with again, we began 2026 with a strong first quarter, as I just indicated. We had a net revenue of $987 million in the quarter, which is up 8% from the prior year. In the quarter, we generated $131 million in operating income, which is up 12% from the prior year. And finally, our earnings per share was up even more, up 17% in the first quarter of last year, resulting in an adjusted earnings per share of 34¢ for the quarter. And that's an adjustment down from our GAAP number. Our actual GAAP earnings per share was $0.40 in the quarter, and Steve Burdick will go through a bit more of that in the Chief Financial Officer's presentation in just a few moments. I would like to present our performance by our segment. We do have two segments, the government services segment and a commercial and international group segment. The government services group segment delivered a strong quarter with margins of 18%, up 40 basis points from last year. In the first quarter, our government services group net revenue was $382 million, which grew 5% from last year. And that was during a quarter where the US government was shut down for about six weeks of that period or about half of the entire quarter. Our commercial and international group segment also delivered a strong first quarter. The Commercial International group's revenue was up 10% to $605 million driven by growth in The United Kingdom and in Ireland with strong water programs in both geographies and with new digital automation programs in Australia. Our Commercial and International Group's margin for the first quarter was 13%, which was also up similar to GSG, up 40 basis points from the prior year. Our commercial International Group's benefited from strong performance in The United Kingdom, in Canada, and an improving business in our Australian activities. I'd now like to provide an overview of our performance by our end customers. This quarter, our federal work was up about 7% from the prior year. Primarily for work with the US Army Corps of Engineers, designing flood protection structures, upgrades to locks and dams, and design of new inland waterway navigation systems. Overall, our US federal work was about 18% of our overall business in the first quarter. In The United States, our state and local markets continue to be very strong. With a 10% growth rate driven by municipal water treatment and digital water modernization, especially in the water stress regions of Texas, Florida, California, and Colorado, which Roger Argus will speak more to here in just a few moments. Our US commercial work was actually down slightly but this is pretty much as we expected. It was driven by reductions in renewable energy work this 2026 compared to a very strong renewable energy practice that we had a year ago. This reduction in our renewable energy work was partially offset by growth in high voltage transmission and permitting and engineering work that we're doing here in The US. Our international work was 48% of our overall business or our overall revenues or net revenues, and it grew at a 13% rate during the quarter. International growth included strong increases in The United Kingdom, in Ireland, as I've mentioned earlier, primarily around the water businesses. We also saw growth in our Canadian infrastructure programs, which we see strengthening really all across Canada. And has been one of the strong lights for us. And, actually, in improving business in our Australia activities, where we've actually saw the reductions of bait during the first quarter. Now like to discuss our backlog, which held steady during a strong revenue quarter that included I've mentioned a few times, a US federal government shutdown. Overall, we see the quality of our backlog much higher than before as measured by the proportion of front-end work that we have embedded in our backlog which also brings higher embedded margins. You can imagine, we did see a slowdown in our US federal client orders in the first quarter due to the government shutdown that began on October 1 and continued for the first six weeks of the fiscal year. And even with the federal government reopening on November 12, the start-up for the government was still pretty slow because it started up in November right before Thanksgiving. And continued through the holiday season. So we never saw it fully return to a level that we would have either expected or hoped for. While new project orders from the US government were slow in the first quarter, new contract awards task orders, and project start-ups were very strong, our US state and local clients. Commercial clients, international clients, collectively resulting in an overall stable pretty flat backlog from what we saw from the first quarter of last year. As we look forward, we expect that with more clarity on US federal budgets and appropriations, the pace of US federal orders will increase beginning late in the second quarter and continuing through the second half of our fiscal year. Now I'd like to turn the presentation over to Steve Burdick, our Chief Financial Officer, to present more details on our financials for the first quarter.
Steve Burdick: Yes. Thank you, Dan. I'd like to now discuss an update of our reported first quarter fiscal 2026 results. Working capital, cash flows, and capital allocation. So as Dan just provided in our management analysis, our market-leading focus on front-end consulting and design for water environmental projects are carrying higher margins across all of our end markets. As such, even as the first quarter revenue was down from last year due to the decrease in revenue from our USA customer and virtually no revenues from hurricane disasters this year compared to last year, our operating income increased significantly and EBITDA on net revenue for the quarter increased by 140 basis points to 14.2% in the 2026. Now excluding our USAID and Department of State activities in both periods, then our margin was up about 80 basis points. As a result of our ability to enhance our profit margins, we were able to increase EPS over last year. As the $0.40 reported and the $0.35 as adjusted came in better due to the outperformance in the growth of our international business. Can find a reconciliation of with the divestiture and earn out gains in the appendix of this presentation and in our Reg G reconciliation. Now regarding our working capital, cash flows generated from operations in the first quarter were $72 million which represents an improvement of $59 million over fiscal 2025. Excluding the impacts of USAA and Department of State business, our focus on working capital and cash flows has resulted in our DSO reflecting an industry-leading standard of fifty-one days. Which is the lowest this key metric has been in over ten years. Now this lower DSO metric provides significant insight into the core business as it reflects the outstanding work that our project managers lead relative to higher quality projects, and highly satisfied clients in our broad portfolio across all of our end markets, and geographies. Our net debt amounted to about $565 million and the net debt on EBITDA was at a leverage of 0.86 times, which is 20% lower as compared to our leverage one year ago. Now as we continue to execute on high-quality operating results, with increasing margins, operating cash flows in excess of net income, and lower working capital, we will continue to provide higher returns for shareholders and improve our industry-leading return on capital employed. For those following along in the presentation, I wanted to share a bit of our recent historical results relative to our net leverage and our current borrowing capacity. As I just reviewed, our strong balance sheet and healthy cash flows we've continued to bring down our leverage from a high point when our net debt stood at a over 2x back in the 2023 when we acquired our As of the '26, our net debt is less than the low end of our target range and this provides us significant room to use our balance sheet for investing in growth, and providing for higher returns to shareholders. For example, we could lever up to take on an additional $2 billion in debt capacity for larger acquisitions. With that perspective in mind, I'd like to now present our capital allocation strategy and overview. We have a very strong and healthy balance sheet, and our operating cash flow was over $500 million for the trailing twelve-month period. Our balance sheet and cash flows provide us with significant available liquidity as we have revised our capital structure in the last year to take advantage of the credit market to support our strategic growth priorities. Roger will discuss our strategic growth areas later in this presentation. But I do want to point out that we have a significant amount of liquidity available to invest in organic and acquisitive growth priorities in order to take advantage of these key business opportunities. These opportunities include technology and automation, which continue to provide us a dominant position in the market and for acquisitions of technical leaders focused on defense such as HALVIC in The US, and Providence in Australia. Now regarding our dividend program, I'm pleased to announce that our board of directors approved the quarterly cash dividend which is a 12% increase year over year to be paid in the second quarter. This is our forty-seventh consecutive quarterly dividend and the increased dividend is in line with our practice of annual double-digit increases in the amounts paid. Based on the lower net leverage, we've continued our stock buyback program this year, in the 2026, we bought back an additional $50 million. We do have $548 million available from stock buyback plans that have been approved by our board as part of our capital allocation strategy. You know, overall, I'm very pleased to share these really strong results for the start of 2026. Which has enabled us to increase shareholder returns. And since the 2023, when we completed the acquisition of RPS, We have increased our annual dividends every quarter and distributed a total of $180 million. We increased our stock buybacks and repurchased a total of $300 million. And we completed several accretive acquisitions investing a total of $400 million. And we did this all while deleveraging our balance sheet and moving our net debt on EBITDA from more than two times to less than one times. I wanna thank you all for your support, and I will now hand the call over to Roger to discuss Tetra Tech, Inc.'s future opportunities for 2026 and beyond.
Roger Argus: Thank you, Steve. 85% of Tetra Tech, Inc.'s business is to provide water, environmental-related services for our government and commercial clients. Today, I'd like to highlight some of the key market drivers for our municipal water and defense business globally. In The US, our clients continue to invest in water infrastructure to meet long-term demand and to protect from droughts and contamination. Since last week, New York State announced a $3.75 billion investment in statewide water infrastructure programs. And today, Tetra Tech, Inc. is providing front-end water services in support of more than $22 billion in water and wastewater capital expenditures. Programs. Our services begin at the earliest stages of the program with planning, alternative analysis, digital automation assessment, and progress to first-of-a-kind designs to optimize water supply and wastewater treatment systems. One of the new emerging growth areas in municipal water is Colorado, where they are facing widespread concerns over water supplies. We are working with our clients in the region to investigate high-end alternatives to transform formerly unusable source water into long-term supply. Digital automation provides another avenue for increasing efficiency water delivery. In Texas, we are working with the Coastal Water Authority to optimize water systems that today deliver water to more than 2 million residents in the region. In The UK, we are seeing a continued ramp-up in water investments and contracts supporting the AMP gate cycle. As well as increased investments in Ireland and The Netherlands, In fact, Irish Water has recently doubled their projected investments to €11.8 billion. The front-end services we provide throughout the region include modernizing water supply systems, and protecting water quality. As noted on the slide, we've added new contracts with four UK water utilities to provide these services. And in The Netherlands, were awarded a contract to support The Netherlands Waxwatterstadt framework cooperative agreements in modernizing their critical water management infrastructure. We also provide our clients with software to advance their programs. In The US and internationally, our CSoft subscription software is used by water utilities to optimize water systems to protect water quality. And in The UK, our WaterNet software is widely adopted to manage water systems and reduce leakage. A high priority for watery fillers utilities under AMP eight. During our last earnings call, I highlighted the increased funding levels for defense in The US, UK, and Australia. These funding increases will be used to expand and modernize defense facilities, including strengthening coastal resiliency and flood protection, as well as expanding port facilities and infrastructure modernization. We continue to expand our contract capacity for coastal resiliency for programs in The US, UK, and Australia. We were recently selected for a $48 million single award contract as part of the Texas Coastal Protection Program to help develop what will be one of the largest surge barriers in the world. Other recent awards in The US include contracts with Army Corps Baltimore and Portland districts, which will be used to support critical coastal infrastructure design inland waterway upgrades, and port expansions. And just after the quarter, we announced the addition of Halvik. Further expanding our high-end consulting services to US defense programs. Their data analytics and AI capabilities will expand our resources to support the optimization of infrastructure facilities and resource management systems. In The UK, we are seeing increased budgets and expanding programs to address coastal protection and maritime facilities. Most recently, The UK announced a new £4 billion program to fund the modernization of ports. In Australia, our defense practice has been awarded two new programs. Both of these awards support extensive maritime upgrades and coastal zone management in Western Australia. After the first quarter, we also announced the definitive agreement to acquire Providence. A high-end advisory firm specializing in supporting Australian defense programs. Their advisory services complement our existing advisory and program management expertise. And brings us new contract capacity and new clients. In summary, we are very excited about the opportunities these major market drivers and recent acquisitions present. I would now like to provide an overview of our outlook for FY 2026 by customer. Each of our customer sectors have growth drivers directly aligned to Tetra Tech, Inc.'s strengths. International growth is forecasted to have a 5% to 10% rate. This growth is supported by the water programs in The UK and Ireland, as well as high-priority defense spending in The UK and Australia. We are also seeing expanding investment in Canadian infrastructure and some improvement in Australian markets fueled by mining and infrastructure. US commercial is forecasted to grow at a five to 10% rate, supported by water demand for data centers and advanced manufacturing. And growth in The US power-related advisory consulting and engineering services. US state and local is forecasted to grow at 10 to 15%. Supported by increasing investments by municipalities in water supplies expansion and upgrades, and new initiatives for digital water automation. US Federal was forecasted to grow at five to 10% rate driven by higher spending and priorities focused on defense and critical water infrastructure. I would now like to turn the presentation back to Dan to present our increased guidance for the second quarter and FY 2026.
Dan Batrack: Thank you very much, Roger. As Roger said indicated, I'd like to present our guidance for the second quarter and our updated guidance for the entirety of fiscal year 2026. Our guidance is as follows. For the second quarter, our guidance for net revenue is for a range of $975 million to $1.025 billion. With an associated adjusted earnings per share of $0.30 to $0.33. For the entire year, our updated and increased guidance for net revenue is for a range of $4.15 billion to $4.3 billion with an associated adjusted earnings per share of $1.46 to $1.56. I will note, if you're following along on the webcast, the note on the right portion of the page. This does impute or calculate to the midpoint of the guidance range of a 9% increase in net revenue for the entirety of fiscal year 2026 and an 80 basis point expansion of EBITDA margins. For the entirety of the year. Some of the assumptions included in this guidance, both for the second quarter and for the entirety of the year, is that it does include intangible amortization of $34 million. It does include depreciation of $25 million for the year. It does include interest expense of $34 million, a tax rate of 27.5%, We do estimate at this time a 263 million average diluted shares outstanding. And as in the past, it does exclude this guidance for the second quarter and the year. It does exclude contributions from future acquisitions. And it does include Providence. That was just mentioned by Roger. We have signed a definitive agreement, and we do anticipate it will close toward the end of the second quarter. We'll update our guidance as we move forward. And I will note, and you'll see it in the reconciliation tables, referenced by our Chief Financial Officer, that this guidance does include the impact from the current disposition and less any gain on the sale. With that, I'd like to move to close our prepared remarks with stating in summary we had a really good first quarter and an excellent beginning to our 2026 fiscal year. And Tetra Tech, Inc.'s high-end consulting for water and environmental services continues to have strong demand and resilience through this rapidly changing geopolitical and economic landscape that we have today. Leading with science approach to addressing water, and environment priorities is well aligned with the long-term demand here in The United States and really all around the globe and internationally. And with our strong balance sheet, which I think Steve did a great job of presenting today, Tetra Tech, Inc. is in an excellent financial position to invest in acquisitions to further advance our strategies and to move us and to continue moving our leadership in the industries that we're competing. And with that, Diego, I'd like to open the call up for questions.
Operator: Thank you. The question and answer session will begin now. Please be aware that there will be a thirty-second pause in our webcast to allow for buffering. At this time, audio participants are invited to submit their questions. Please remember to mute the audio function on your computer before you speak. If you are using a speakerphone, please pick up the handset. Before pressing any numbers. If you would like to ask a question, press star 1 on your touch-tone phone. The first question comes from Tim Mulrooney with William Blair. Please state your question.
Tim Mulrooney: Dan, Roger, and Steve, good morning. Good morning. I wanted to ask about your federal business first. You know, it looks like it grew 7% excluding the Department of State work. Pretty good, I think. Considering the government shutdown and kind of right in line with what you're targeting for the year. So was curious if you could just talk a little more detail about some of the areas where you are seeing strength. That's helping drive that performance.
Dan Batrack: That's a good question. I would say that was an area that we were extremely focused on coming into our first quarter. Maybe as I to describe the first quarter, maybe I'll just reflect just a little bit. Notice that in a you may have noticed in fiscal year 2025, we had an entire series of very large wins with the US Army Corps of Engineers. In fact, I think we had something in the order of one to two dozen. Very large awards that actually saw task orders come out late in 2025. So the months of August and September, and they really continued through our first quarter, which was October, November, and even December. We did see the shutdown or the likelihood of it coming into the quarter with the US federal government. It was somewhat telegraphed or indicated that that was a possibility we work very closely with our clients particularly with the Department of Defense, the US Army Corps of Engineers, to have task orders and projects put in place that would carry us through the first quarter. And we felt we that was that was successful for, I would say, a little over thirty days. We were really unimpacted for really most of our programs, but I'd say most notably, we did a good job with our clients anticipating authorizations that we carry through the first quarter. So what sustained that 7% growth? Was one, advanced planning. We have seen a shutdown time or two in the past. And two, working very closely with our clients to have critical programs that really would save the government a lot of expense without having to go through a demobilization and restart ups. So it was actually financially in the best interest of our clients. And actually supported that 7% growth for the first quarter. The primary driver was for the US Army Corps of Engineers, which has now become the company's largest client. And, of course, that shows up in US Federal, and that was really the underpinning for the 7% growth in the quarter.
Tim Mulrooney: That's good extra color. Thank you, Dan. I assume many of those programs will be ongoing through throughout fiscal 2026. But I do actually just wanna pivot to your international business, which continues to accelerate. It's obviously very strong this quarter. You touched on it in your prepared remarks, but I was hoping you could walk through each of your three main geographies I just talked about where you're seeing traction I mean, how much of that growth is being driven by strength in The UK versus maybe getting more track in Canada or seeing more of a stronger recovery in Australia? Just any detail there. Thank you.
Dan Batrack: Well, I'm glad you asked for the three of the three primary international markets for us because that is how we look at it here at Tetra Tech, Inc. The area that has been the strongest going back for the more than the last year, year and a half, has been The United Kingdom, And we've traditionally have said the European Union, but really it's been primarily Ireland. So I'll call it The UK and Ireland. Those programs have been very strong for us. Growth has been well into the double digits. It's what's driven the numbers in the past. In fact, I have made comments when you've seen our international growth at five, six, 7%. My comments have been The UK and Ireland are being underrepresented or unrecognized to the public with respect to their contributions because they've been well into the double digits, and they continue to be. And, of course, you've heard in my prepared remarks I think I hope I didn't say it too many times, I've driven by large water programs Roger spoke at them. I've spoke with them. It's certainly been a common theme now for many quarters. So those two are double digit. We have great visibility, good backlog, and they're really in many instances, first of the kind programs for the priority. On the asset management program or the AMP eight program in the in The UK and similar programs in Ireland. So I would say if you that's the let me just say that's the hot or that's the the biggest up. Driving it. Canada, has actually done quite well for us. There was a little bit of a and I don't wanna call it a stumble, but a little bit of a pause during the roughly a year ago During the initial tariff discussions between The US and Canada that caused, I would say, a fair amount of disruption. In Canada, we saw those growth rates come down to sort of middle to just slightly below that growth, still growing. Still quite profitable. But I'm very impressed with what Canada's done with respect to responding for alternative trading continue negotiating with The US, and investing a very large committed amount for infrastructure to commit to ports, harbors, I've seen recently, there's a significant investment coming out of the Canadian government both for their defense and civil agencies across the Arctic. Of course, Greenland being in the topic you know, over the past few months. Has taken much more discussion with respect to national security of North America and much of it's being gonna be directed toward that area. Is the entire Arctic interface on the coastal area. Where we have a very large presence, and we've actually seen some early planning work coming out of that. And so that's been, I would say, contributing well. It's sort of in the middle to upper single digits. Not quite where The UK and Ireland are, but I would say very strong. In the upper end of the range that we've established. And Australia, you've heard we're words we're using like recovery, strengthening, I will say that it's been difficult. And not just for Tetra Tech, Inc. I've I have looked at other consulting and engineering firms, and it's been you know, had the had their own challenges across the Australian and New Zealand activities. I would say a year ago, we were looking at sort of a minus 15% type number. So it was really, offsetting a lot of the strength in The UK, Ireland, and even a bit of Canada. We've seen that as predicted. It actually come back. Now I wouldn't say we're in a growth mode there yet. But going from minus 15 to zero being flat feels pretty good. Now we may not be in the sunshine yet, but we're headed there. When you go from minus 15 to zero, one, I like the trend. And set it the right way. And two, it's now actually not a headwind. And so if you take those altogether, that's what where we put for the quarter. I think we're gonna see a similar and improving performance out of Australia. I expect Canada is gonna stay where it's at and maybe improve a bit more. And we don't have an expectation that we're gonna be running I'm not gonna call it red hot, but at really high levels. Out of UK and Ireland because these much higher performance numbers will annualize, and you'll still see nice growth. But it should put us in a good position for performing well within that five to 10 growth rates that we forecasted that Roger presented just a few moments ago for international. I hope that's not too much detail, Tim.
Tim Mulrooney: No, Dan. I could talk to you all day about this. I want more detail. Wanna learn more about what's happening in Canada. That sounds like a lot of exciting opportunities. I mean, I guess the in the Arctic, is that what what kind of work would you be doing there? It's is that, like, work around with the ports and harbors and export terminals? Or what what what kinda sorry. I know this is a third question. I'm only supposed to ask two, but I'm just very curious.
Dan Batrack: Yeah. I'll just make a comment. I've said this before. I have to go back a few years in my career. My first year working with Tetra Tech, Inc. I worked in the Arctic. That was my first two years as an employee of Tetra Tech, Inc. I was mostly on the Alaska Arctic, but it went over to the Canadian as far as But there are no there are no ports and harbors for navigable waterways for refueling or anything across the Arctic.
Tim Mulrooney: Anywhere.
Dan Batrack: You can go ashore a little bit in a skiff or something, but this will actually be planning winter roads that will go up to the North Coast. By the way, the ice road truckers a television series with highlights Tetra Tech, Inc.'s Ice Road clearance work. That's the work we do on a geotech work. So if you see very closely some of those floods, you'll see Tetra Tech, Inc. or our field divisions' logos there. So this will be providing access roads up to the North and then building out ports and harbors and infrastructure facilities to allow navigational support across the Canadian and Alaskan Arctic. That's the type of work we'll be doing. And it's not just for civil. Of course, it's for trading routes. But it's also become if you listen to the news recently, concerns regarding threats in the Arctic. Regarding naval facilities. And so all of a sudden, even in the last thirty days, we've seen a Canadian put more priority on defense facilities across the Arctic. And other than the defense early warning systems, the early dew line sites, there's nothing up there, and that was all air fly in. So all of this build out, I think, is dead center for Tetra Tech, Inc. And has left me pretty bullish on Canada.
Tim Mulrooney: Sounds like some very interesting opportunities. Thank you for all the detail.
Operator: And your next question comes from Sabahat Khan with RBC Capital Markets. Please state your question.
Sabahat Khan: Great. Thanks, and good morning. Maybe just taking that commentary you just shared on the setup across the various regions and know, how have you reflected the range of potential outcomes within your guidance? It sounds like know, at the very least, some of the markets are stabilizing, others might be accelerating. But just know, if you think about the range you've provided for full year revenue and earnings, you know, what have you reflected in the those assumptions across the range? Maybe just to bring all that together. Next.
Dan Batrack: Well, I would say mid midpoint. Which I'm pleased to to say is at at the nine that you saw on the revenue growth. Would assume the roughly the midpoints of the growth rates that Roger presented in each of our key four client end markets. So and I think that's about what we see. Now what would take us to the low end? Is obviously our guidance isn't a single point, it's a range. But we've not what we it would be embedded in the low point. What could cause it to be at the low end of that? Well, I regret to say that it's still possible we'll have a shutdown here within the next few days. We still don't have a bill passed. Although I will say our guidance has contemplated it's certainly less than our range in Q2 as I speak to you today. That if there's a shutdown, it would take us to the lower end. I think the shutdown, if it does happen, will only be a partial shutdown. I'm pleased to say in the past few weeks, we've actually had appropriations signed off on a number of areas. So even though it's been impacted materially, EPA has been funded. On out through the year. A number of others have been funded out through the year. The ones that have not been funded are defense, and a few others, and we think that that if there's a shutdown, it would only be partial. And much of the partial is not even for areas that we work in. So homeland security and others are really not affected by our our client set. The areas we do do for work for defense are often considered essential services. And so even if they do shut down, we'll still remain remain at our post and at work. But, nevertheless, I would say in things that would take us to low end, could be a shutdown or any other major disruption. From this administration, whether it's a shutdown or I'd say continued significant volatility in things like tariffs or trading or things that actually are causing slowdown of decisions even on the commercial. We see little impact on our state and local with respect to these federal activities. And little on international. But still, that represents the low end. On the high end, it would be we could have some bipartisan support. Now I know that may seem like a like a trip to Mars tomorrow, but but, hey. It's it is what we're hoping for. It is what we're expecting. And any type of bipartisan support on any of these large clients would put us, I think, toward the toward the upper end. I think that would help accelerate our commercial work with respect to reshoring, I think it would help certainly with visibility that we expect coming in the year for federal government. State and local, like, expect to continue. And by the way, state and local has actually been funded from the federal government at a relatively full level I know it's been an area of speculation and discussion that federal funding to state and local would be minimized or otherwise reduced. We've not seen that. In fact, it's really come out at a at a full level. And so and that includes state revolving funding includes WIFIA or the water infrastructure funding avenue. So any of those pickups, I think, would take us to the high end. And while we're not counting on it, we do have I don't wanna use it to call it a wild card. But we do have a card in our hand that continues to see funding. And it was one of the items that drove us well over the top end of our own guidance. Which is funding on US state department work and that specifically means Ukraine. So it is possible that that could actually see more work on the power engineering side, which is what we do there. That could actually take it and drive it to the upper end or even higher.
Sabahat Khan: Thanks very much for that color. And then a bit of discussion on this call in your slide deck about the balance sheet capacity, the focus on m and a. If you can maybe just talk about whether there's maybe a bit more of a enhanced focus on the inorganic opportunities? Is your sort of new role that you're transitioning to maybe a bit focused on that? Maybe just talk us through the views on M and A type and size of assets you might be interested in, you know, your potential involvement on sort of the strategic stuff, I mean, you're in the role that you're trying to to. Thanks so much.
Dan Batrack: Yeah. And that's a that's a good question, Sabahat. So Steve has generated a bank account for me, the checkbook. And will say, this would be the last call that I'll be presenting as the executive officer, CEO responsible for day-to-day operations for the company. And strategy and vision and direction. I personally wanna make just a brief comment on this through my journey starting here as a as a field technician and field engineer to my role today I've never felt it as a chore or an obligation to work on the details of the project. Frankly, that's my first love. If I can go out on a project site or meet with a client, I still call and talk to individuals on a daily basis. And we'll continue to do that up until February 19, our shareholders meeting. I will say that that level of extreme detail in the day-to-day operations of the company I am transitioning to Roger. And Roger's been doing much of that for a while now. And what I'm hoping to do then is through my tenure in this role, which is now in its twenty-first year, I actually do have a lot of colleagues and friends in the industry from teaming partners and competitors even individuals that grew up in similar positions as I did, that are now CEOs and chairman of other key companies. And I hold many of them in the highest regard and I actually would like to spend more of my time on what I would consider needle needle moving I'm trying not to use the word big game hunting. It's not a predatory move, but how we can actually partner with some of our biggest peers out in the market to change the market by them joining Tetra Tech, Inc. And finding things that finding combinations that are good under strategy that will help transform this industry that will make Tetra Tech, Inc. and our partners better than ever and actually set a new high bar that nobody's envisioned yet. And that's what I'm gonna focus my time on. And Steve's establishment of by the way, the $2 billion is what we can go essentially get tomorrow with just within our revolver. The actual ceiling is substantially higher. If you begin considering access to equity and other financing means that are available to Tetra Tech, Inc. And so I wanna spend my time actually more on vision and direction in combinations with other partners out there that will help transform this industry. And I I'm excited about it. I haven't had as much time to spend in that area. As I think I could or should have. Nobody does everything perfect all the time. And I would think that acquisitions that have made a difference for Tetra Tech, Inc., like coffee and white young green, WYG, and RPS. Would hope would only be the beginning of what we can see in our future.
Sabahat Khan: Great. Thanks very much for that, and best of luck.
Dan Batrack: Hey. Thanks, Sabahat.
Operator: Your next question comes from Sangita Jain with KeyBanc Capital Markets. Please state your question.
Sangita Jain: Hi. Good morning. Thank you for taking my questions. So Dan, I have to follow-up on that M and A discussion that you just had. As Steve pointed out, you've rarely ever gone above, like, two turns even with RPS. So four seems very high, I just wanna understand what type of opportunity would take you with would make you feel comfortable going that high And are we thinking a single opportunity that's $2 billion or a sequence of such transactions that takes you up to four times?
Dan Batrack: Well, I think it could be either. Although, I would say, generally speaking, I anticipate something that would take us up to the four a leverage of four would be for something that is larger and actually required more of a, you know, more capital available. I will say that if you begin thinking about two, it is interesting. Most of the opportunities that we've identified are sourced through our Tetra Tech, Inc. teaming partners, subcontractors, JV partners. And I think that we have well within the one to two the ability to continue with the bolt-ons that we've been doing. So we've targeted Steve specifically targeted in our Investor Day of May 2024, a 45% revenue contribution which we can do that through m and a and really stay at a one or even below. I think we've talked about because of the USAID removal from our portfolio, Again, not because of anything we've done, but we could take that number and move it up to essentially double that, up to six, seven, even 8%. And still be within the one to two. What I'm talking about what we're talking about is something that would be strategic and actually help change the direction and, frankly, valuation for our shareholders. And I would expect it to be accretive. And anytime we would get anywhere toward the upper end of four, I think you would see it very similar to Steve's chart. During the prepared remarks that we deleverage quite quickly. So it's not a new a new location that we would reside for very long. It is something we could do very easily with almost no time no no time expended in that. Whereas if you're talking about a lower a lower leverage, now you're talking about it seems to be pretty common in the industry, but not with Tetra Tech, Inc. We haven't diluted our shareholders. At all. We've done many, many different acquisitions, including the ones up toward a billion dollars in annual revenue and not issued any equity or diluted our shareholders. And we brought the leverage down. So I would expect the scenario that Steve had outlined as presentation is simply how we would use cash, which is the lowest cost of capital for our shareholders particularly at the interest rates that exist today. So no, it's not turning up a lot more small ones. I think the small ones will continue as you've seen. And I'm glad to I'm glad to report that since our last investor call, was don't know, just a little over sixty days ago because the last call was the end of our fiscal year. So it wasn't really that long ago. We've announced two acquisitions. And I think some have asked well, do you actually have anything in play? And said, we'll announce them when they're there. But I'm glad to announce Halvik at 600 people. You've got Providence at just over a 100 people. So those fit right in our numbers that we've talked about between a 100 and a thousand people. Expect that type of cadence to continue. But that is not what's gonna drive us up to the four. It would be something more material I'm not I don't wanna go so far as to say transformational, but I'll use the word something more material.
Sangita Jain: Got it. Helpful. And then on the Havelock and Providence acquisitions, on your cash flow statement, I see that you also divested some assets. So I just kinda wanna understand what you sold if there was any revenue associated with that sale and what's the purchase price for those two transactions? Okay. Thank you.
Steve Burdick: Yes. So in the in the first quarter, as as we announced back in, you know, in the fourth quarter, we held Purcell or or we had Purcell Norway operation that came to us with the RPS acquisition. And we determined that it was non-core, and really didn't fit with the rest of Tetra Tech, Inc. In any meaningful way. So we sold our Norway operation in you know, early December. And that's that's what you see in terms of what what's sitting on the cash flow statement.
Dan Batrack: Yeah. Just make one comment on that, Sangita. As we see it, that was closed right before Christmas. I'll also make a note that our backlog that you saw was down 1.8% year over year, also included are taking out the backlog that was included in the, Norway operation. So it's not all apples and apples. That reduction wasn't if you actually added that in for a fair comparison from a year ago because our Norwe operation was included in it last year. So but the if you take a look at what Halvik, which came in in January, mid to late January, and you take a look at the Norwegian operations with respect to to contribute revenue, yes. And in fact, the annual numbers are pretty close. So we see that the withdraw of our Norwegian operation and the put of Halvik roughly offset each other. So don't add too much into our consensus number for Halvik because we do have the offset for Norway.
Sangita Jain: Got it. Thank you. Thank you, Dan.
Dan Batrack: You're welcome, Sangita. Thanks.
Operator: Your next question comes from Andrew Wittmann with Baird. Please state your question.
Andrew Wittmann: Okay, great. Thanks. Roger, congratulations on the promotion. And, Dan, excuse me, it's been a pleasure. I know you're not going far, but since we won't have you on this call, you will be missed. So my question, I guess, is is is a clarification kind of building off the last question. My first impression here was that your guidance on an organic basis was largely unchanged. My thought was that, you know and you, you know, you beat the quarter or it was over the you beat the revenue, the guidance, you beat the EPS guidance, and it kinda felt like you passed that through to the year, but the balance of the year kinda felt unchanged was my original assessment. I don't know if that's right or wrong, so I was hoping you could address that. I thought, you know, the the Helvec acquisition was explained most of the revenue delta beyond the the beat in the quarter, but but maybe Steve, you wanna address that one. And if if I'm wrong here, please do clarify. Any other contributors to the, or the significance of the contributor of, Ukraine would also be interesting to know, at least its impact on the quarter and how you're thinking about that. In your consideration for guidance.
Steve Burdick: You got that about right, Andy. It's our revised guidance for the year, which you know, increased in terms of net revenue and EPS. Did take into account our Q1 beat and that's and that's the adjusted EPS, not not the 40¢ with the, you know, the onetime gains. The sale and and other stuff. So the, you know, the net revenue does reflect our Q1 b. And as Dan talked about, some of that came from, you know, more USA work, but also from more from our international business. And then on a go forward basis, we did account for a little bit of that increase from public a little bit, but as Dan also discussed, you know, we we had a disposition that that took our net revenue down a little bit from the sale of our Norway operation. So know, I think what you see in terms of our guidance for net revenue and EPS is higher than what we originally came out with. And but within that range, pretty much encompasses a lot of the things that Dan was talking about. Earlier and and then this q and a with some of the different puts and takes that were still need to consider for the rest of this year.
Andrew Wittmann: Okay. Great. Then just for my follow-up, I wanted to ask about the opportunities in really three submarkets. So, one question, three parts. But these are all topical areas that I think the investment community is a lot about today. So the the the things that I was hoping you could address Dan, would be nuclear permitting. We saw that there was a a press release that you announced, that came out for, helping permit nukes along with Westinghouse, kind of a terms of agreement there. Just wondering kind of time frame, opportunity set there. Been lots of talk you guys have been a a very good provider for the FAA over the years. And, obviously, with the modernization that's going on out there, I was just wondering if if Tetra Tech, Inc. can you think that Tetra Tech, Inc. has a credible chance at a at a role as a subcontractor now that the prime has been announced there. And then also, I think people are wondering about the the Shield contract. That went out there and and what kind of scope and role are contract, please.
Dan Batrack: Well, fortunately, Andy, I'm quite familiar with all three of those contracts. So, yeah, the first one, let me just clarify clarify. Now that was a press release sent, not out by us, but by by by Westinghouse. That was not Tetra Tech, Inc. press release at all. Now we're very flattered that they included us prominently in this. This has worked for Canada. It's a memorandum of an MOU between us and Westinghouse. Like, there's a couple other parties also part of this. And this is for really a continuation, including new build for, nuclear power generation as part of clean energy in Canada. And it's in Ontario. We've we've had a great relationship with the actual power generation owners, like the the the Bruce and OPG and others up there. And I think this is gonna continue what we've been doing because we do do the engineering, not just the permitting, but we actually do the engineering portions for some of the cooling systems and other items with respect to water handling, pumps, valves, and other other items associated with the water movement systems up there. And so this is new activities with respect to new build, and I think it will just continue what we've been doing up there with an incremental upside. So that's what that is. So I would say yes. Don't take a look for don't look for a huge step function. No. We're not gonna go from it's not going to materially change our outlook in 2026. It's going to continue to support our outlook in 2026 and we'll see how it grows even more in '27. FAA, the integrator contract, we were never a prime. We do a lot of work on the communication system. We're very close in the meetings with the integrator. And, of course, where we sit as a technical adviser to the FAA on this type of work. They have committed funds for radar and other hardware and systems that have now been deployed or put in place by the FAA through the integrator contract. It does take time to produce those. We are we would be a great choice to actually assist in the implementation and deployment of those. I know we won't be driving the trucks that haul them out to the locations but we will actually be helping with respect to how are they gonna be integrated, how are they gonna be plugged in, so so to speak. How are they going to have power to them? How are you going to have security access to all these facilities? Because we're at all these locations. And in fact, we did some of the rollout of some of the space-based telecommunications systems in Alaska going back about a year ago that were put out as sort of a first trial. That's an example where FAA came directly to us. So it seems to us we're a great choice. We're there. But I think you're not gonna do that until such time as the hardware's available for deployment. And while I'm not we're not familiar with the exact time schedule of that, think that's not a 2026. At least our fiscal year '26 item. We do think it's a good opportunity for 2027. I have been asked, don't you get started today in 2026? And do all of the front-end work so it can be ready to go when it shows up. In '27. We've had those discussions, and you're not gonna do it the way FAA does it, if it's going to be a new day with the reintegrator contract, to somebody who's new to the process. A lot of it becomes just in time planning so that you can be very efficient with respect to your spending. So it's not let's start now nine months in advance or a year in advance. Let's do it as it gets closer to delivery. So I expect that opportunity to be more material for us. Potentially material in numbers too, dollars. But I think it's a 2027 fiscal year item. And finally, the shield. Know, we issued a press release three weeks ago. On the Shield contract. It's a $151 billion I'll call it down payment on what might be a a Golden Dome. There are let me put this in context. The US government has issued these contracts to individuals and companies that could possibly support this activity in any and all areas. And the number of contracts that people hold, the number ranges in excess of two thousand. First of all, is the Tetra Tech, Inc. one of one? No. Are we one of 10? No. We're one of 2,000, and I think it's close to 21 or 2,200. Now the work we would do, and we've done this for the Department of Defense and the government in the past, we frankly are the upfront planners in the environmental permitters. And I would call it overall the environmental stewards of of any plan that might be put in place. Whether or not something's deployed or not, time will tell. But the first thing that would have to be done is if you're going to have remote sensing or remote monitoring or remote locations, It starts with a planning document and where would it be, and is it gonna go across a wetland? Is it gonna go across national park? Does it even have access to it? How would you get there? All of those have environmental impacts both to local communities, state, and federal. And frankly, in some instances with this, even international implications because of these stretch of covering much of North America, there's issues that you would need to have big presence in places like Canada and the North. Sounds like you're talking about Tetra Tech, Inc. So we would do a lot of work, and in fact, I was commenting to somebody here at Tetra Tech, Inc. Our chief engineer here at Tetra Tech, Inc., you can see him on our website, Doctor Bill Brownlee, PhD, Caltech, world-famous civil engineer. He was our program manager back in the nineteen eighties when he led that program. He's still here. I actually did some work on it on a mobile realm garrison program. It was Tetra Tech, Inc.'s biggest contract by far. And it's where we did the environmental assessment, monitoring potential environmental impacts, Nothing ever got deployed. It was enormous contract. And there's a lot of aspects of this program that could be similar. Long before it ever gets deployed. So I think it is something that has to get out of contemplation. But if it moves forward, I think Tetra Tech, Inc. could be from an environmental stewardship perspective, one of the first to participate in the program.
Andrew Wittmann: Thank you very much.
Dan Batrack: And offline, a few I can get a lot more detail on all three. I don't know. I think I probably went too long on those three already. So but thank you, Andy.
Operator: Thank you. And your next question comes from Michael Dudas with Vertical Research Partners. Please state your question.
Michael Dudas: Good morning, gentlemen. And, Dan, what a historic run you've forth. Congratulations.
Dan Batrack: Thank you very much, Michael. Thank you.
Michael Dudas: And plus, this is your last call, Dan. You can pretty talk for as much as you'd like. I mean, who's gonna who's gonna what to do. Right?
Dan Batrack: Our CFO's gonna pull the plug on me.
Michael Dudas: Oh, he's that kind of guy right now. Thank you. Yeah. Just quickly, mate, mate, just to follow-up on your discussion on M and A and capital allocation moving forward. You know, talking about all this capacity and all the opportunities, the pipeline seems, you know, pretty full, and there's a lot of chances. As you think about your business mix of revenues with 45% international and the mix you have in the other three customer bases, And and also in your exposure in the water and water-related areas, as you evolve the next few years, are those gonna change dramatically? Do you feel like you need less or more international exposure? Does it are you agnostic towards it? And and also on on your exposure with the growing global TAM of water, Are there other areas you wanna be more and less involved in? Just wanna get a sense of that as we monitor your your actions over the next several quarters.
Dan Batrack: Yeah. That's a that's a great question. Will first of all start with the word agnostic. I am not overly partial to US over The UK, over Canada, over Us. Australia, over Ireland or New Zealand. We really wanna follow our clients where their priorities are and where we can make a difference, and we can provide them solutions that nobody else can. And for some of us, the legitimately, there's been so much volatility with the US federal government. Why don't you just go international and get away from the you know, the volatility and the uncertainty that seems to to to have been present including the government shutdown this last quarter, And my comment is it's still the largest client in the world by far. Not not by a little bit by far. So I don't expect and we've been a support. We are agnostic with respect to geographies and, frankly, political parties. We're here to solve the problems for our clients where we're an expert. And our job is to actually further their successes in areas associated with clean water, flood control, clean environment, sustainable infrastructure, and I would add the word resilient. So that it doesn't get knocked down the next fire, flood, tornado, ice storm. That it's unimpacted. And much of the work and and I would tell you our resume when we go there, it's not just our price. Our resume is the Inner Harbor navigational channel that we designed, the largest sea barrier flood barrier The United States has ever constructed and in fact, one of the largest in the world has now withstood a dozen storms including those approaching or equal to the size of Katrina. And protected New Orleans. Our resume is our work product. And that supports everyone in any any of those locations. So if they have it a priority as a government, we wanna work for them. The 45% I know we were 48% this last quarter. International That seems to feel about right. I don't necessarily seeing it going 50%. If in fact, if more funds are put toward that type of work in places like I will call it at this time, the the very large English speaking Commonwealth countries. So Australia, Canada, The UK, Ireland, I know, CU. I will be there to support them. And, frankly, for better outcomes for them, including The United States. So extremely agnostic. We wanna follow our clients who put these as a priority for them. Have funding that will have better outcomes for their communities and their countries. I do think we're gonna stay water. My comment on water's not going out of style. I really believe that. I really, really believe that. You've heard me going back to our investor day 2024 in May, and I talked about these being trends or macro trends that are measured in decades not years. And so any volatility that we would see here we're going to navigate as we have this last year. And but I'll tell you, in the long term, I believe the supply of water, the protection of our coastlines, and the environmental landscape, both for our current citizens and for the children, are gonna be of higher demand than ever before. And for those I would say, I see this administration or I see this given geopolitical decision as deemphasizing it? My comment is just means there's more to clean up and more to provide for tomorrow. So I've had this item on coastal protection all the way back in Katrina when I was in this role. Was can pay me now or you can pay me later. And I prefer that we do the work now to protect our citizens and our communities. But if you don't wanna do it, I'll tell you what. It's still gonna have to be done later. And I'll tell you, well, I'll I don't see a substitute for that at all. So I think we're in the right spot. It builds on a legacy of sixty years now. And one thing for sure about and I am talking too long. But people you're gonna talk to after me are better, brighter, smarter, more energetic, and more forward-looking than I. So the best years of Tetra Tech, Inc. for sure are to come.
Michael Dudas: Well said, Dan. Thank you very much.
Dan Batrack: Thank you, Michael.
Operator: Thank you. This will conclude the Q and A session. I will now turn the conference back over to Dan Batrack, to conclude.
Dan Batrack: Well, thank you very much, Diego, and thank you all for attending the call today. Both those that asked questions and that just attended to listen in. Thank you very much for each of the questions from our analysts. You know, they're great questions, and thank you for allowing me to answer them for you today. While I won't be leading this call, you may hear me back on this call in the future. But I am not going anywhere. I'm staying here at Tetra Tech, Inc. as executive chairman. And doing my absolute best to contribute to the success of the future. Of the company. And I'll tell you, could not be in better hands on the day-to-day operations with the exceptional talents that we have in the company including Roger Argus and so frankly, and 25,000 others that are just the best in the industry. And with that, I know we all here at Tetra Tech, Inc. look forward to talking to you again next quarter. And thank you very much. Bye.
Operator: Ladies and gentlemen, this concludes our conference for today. Thank you all for participating, and have a nice day. All parties may disconnect now.